Philippe Brassac: Yes I think we can start this meeting. Philippe Brassac is speaking. Good afternoon everyone, and thank you so much for being present. For this meeting, we’ve Jerome, we are ready to repeat to connect you our main results our main figures for the fourth quarter and for the full year 2018 and of course we shall try to answer all your questions. But before giving the floor to Jerome, I would like to state some clear pre-game messages about this results. The first one is that as you can see that despite uncertainties all over on us, despite tough conditions, not only market activities, our customers for Crédit Agricole S.A. -- for Crédit Agricole group too, but today, we shall speak about Crédit Agricole S.A. Our performance is at - is regular once again and it is once again balanced means that not a good for our profitability on a level of profitability is good for each of our division, each of our business line. And we’d like to highlight that this is probably mainly due to the relevance of our model. We like to repeat through that the model, the historical model of Crédit Agricole is the universal bank because according to us universal bank means the ability to create Agricole a complete and sustainable lasting relationship with each of customer. And just to explain that within the group, there’s not matter about cross selling, there’s only global approaches, there is only global selling. It's very important point on which I want you to highlight this ability of the model to deliver regular results. The second message is about what you can report both our fourth quarter. During this fourth quarter, we proved our ability to adapt our basis of course to an environment that was harder and notably a four capital market securities but that means for asset management activities do of course. As you could probably see that, we succeeded despite in the environment that was not so good, to slightly increase the level of our revenue and we’ve succeeded to master course, we’ve succeeded to reduce course within each of our divisions, notably the rationale is excluding scope FX on the coast. So the first point is about the regularity of our revenue discipline point is about the agility of our management of the situation. The third and last point is about our medium-term plan. As we committed that we’ve really managed within the group the fact that we want to be prudent, we’re really prudent in which of our activity. We gave priority to organic growth. It’s a choice we kept this choice to give always priority to organic growth and mainly we have committed to be we think for customer fortunes. I wanted to highlight that these are not very spectacular strategy, but it works. We like to highlights that it works and as you can see that we’re commercial momentum that is as good as the level of our financial performance but again that we never ask to forget that attractiveness. Commercial attractiveness is always the real key for development and profitability. And so in conclusion of this introduction, I would like to tell you that of course, we are simply very happy, very happy having reached mean targets of 2019 as soon as 2018, and so very naturally we shall have to present -- we shall have the pleasure to present you a new plan for 2022 and we show that on June, the 6th of June and of course you are all invited to this event. I can tell you anything about this date, this Investor Day simply that of course, we shall try to go once again, further to go once again higher, and we'd like simply to say tell you that I'm very optimistic for the future, not because focused are simple about the future, but simply because our models and our main strategy are relevant to face any kind of ground and thanks to the strategy, thanks to this opportunity, I'm sure that you shall, you will appreciate this invest on the on which are within which we should be able to give you all our ambitions for 2022. So now we come back to our results, and I give the floor immediately to Jerome.
Jérôme Grivet: Thank you, Philippe, and good afternoon to every one of you. Let me start with the main messages that we can have in order to assess properly this year 2018. I think for us it's been a year of good customer acquisition and good customer focus development. We managed to attract as much as 1.8 million new customers in a different retail networks in France and Italy which is quite impressive actually, at the time where everybody speaks about the attractive network up, excuse me, I don't have any screen in front of me in order to check which is the slide which is presented. So in a period of time where everybody's talking about digital banks and newcomers, we launched successfully many, many new offers in order to continue to satisfy our different customer basis. It's been also a year of integration after quite some quite significant acquisitions in 2017. We achieve and completed the integration of Pioneer within Amundi of the three regional banks that we got in Italy of the different operations that we purchased in Private Banking. And it's been a year also where we put in place some new engines for our future growth in the conclusion of different partnerships, be it in the field of payment services; in the field of insurance, with the acquisition of 25%, an additional 25% of our subsidiary in Portugal and the partnership with CreVal; and in the consumer credit business in Italy with the renewal and the extension of the partnership with Banco BPM and the launching of a new joint venture with Bankia in Spain. It's been a year also, where we achieved most of the 2019 financial targets as Philippe said, and it's been also a year where we are strengthened further our robustness, our financial solidity. Philippe said in this quarter was quite challenging in the markets so leading to additional pressure on the revenues of some of our business lines capital market activities or Amundi, but all-in-all we to navigate quite nicely I would say across this quarter with a net profit of €1.1 billion underlying as well as stated, it's 21.5% for the underlying basis as compared to Q4 2017. The cost control has been quite confirmed, I would say, and we also managed to keep the solvency of Crédit Agricole S.A. at high level, 11.5% and the one of the group to increase it a little bit further at 15% CET1 ratio. I will not describe of course these elements, but this shows on either quite challenging environment, for which we had to navigate in the fourth quarter. The main figures of the profitability are here, both for the group and for the S.A. for the quarter and for the full year and the stated and the underlying figures, which you can see is that we are almost everywhere up and sometimes quite significantly for the listed entity, Crédit Agricole S.A., I'd say as 21.1% increase for the underlying performance for the quarter and plus 12%, 12.2% for the full year at €4.4 billion of net profit. This is really into a dividend per share that is going to be proposed by the board to the General Meeting Assembly in May of €0.69 a share, which up 9.5% as compared to the €0.63 as we had last year. And the underlying return on tangible equity stands a little bit above 12.5%, which is obviously far above the target of at least 10% that we posted in our new, in our latest medium-term plan. This 12.7% return on tangible equity, as Philippe mentioned, it has been reached with a nice balance of performances in every business clients and actually all the performances are I would say between 10% and 25%. So, there is no area in which we have an issue to solve. All the businesses are performing. Of course retail banking activities are a little bit and have been in the last few years, a little bit more under pressure than other activities. But nevertheless, I think that considering their cost of equity, the performances are quite satisfying and argue to continue to improve going forward. Talking about the medium-term plan, I think that, it's fair to say that the different objectives that we had set the financial objectives or non-financial objectives are either reached or well on their way. It's the case for all the -- I would say the structure of the group be it in terms of financial structure also be it in terms of strategic priorities and strategy focus. It's true, so from a customer point of view, with very good dynamic in terms of our capacity of attracting new customers in our different retail banks in France and Italy. It also the case from an operational efficiency viewpoint and we had announced a few years ago the launching of several savings and efficiency plans which are either completed on their way with already a significant contribution to the customer monitoring -- the global customer monitoring at group level. And finally, revenue synergies are also now close to 2019 target at €8.7 billion out of the target of €8.8 billion. In terms of financials, we already stated, I am not going to read all the figures of this slide. What you can see is that at the level of the listed entity with slide exception, which is the cost income ratio, but obviously this is vastly due to the rate environment that we had which put some pressure on the revenues in the retail banking activities. But for all the other objectives, we are already done with 2019 target and actually this is why we are now pleased to announced that we are going to present the new and next medium-term plan on June the 6th in Montrouge. We’re going to adapt to the Brexit or the Brexit possibility and to the meeting in France, next time. If we go down a little bit more precisely on the performance of the full year and the performance of the quarter, what is important to note on this page is that actually the 12.2% improvement that we had from an underlying profit point of view in the full year 2018 was reached with a contribution of business lines, the asset gathering division, retail banking -- excuse me, retail banking activities, specialize financial services, larges customers and also the Corporate Centre, which continue to improve. And in the fourth quarter actually with the exception of the asset gathering division and namely with Amundi to be frank, but you know perfectly the figures of R&D which published its results yesterday. Again, all business lines continue to improve in the fourth quarter of this year. Revenue wise, the full year was quite dynamic with top line growing by close to 5% on an underlying basis and close to 6% on stated basis. Of course, the last quarter was a little bit more difficult for the reasons that you know in within asset management and within CIB, but nevertheless we continue to improve the retail banking division SFS division and also the Corporate Centre. In terms of cost what is important to know is that for the full year, the evolution was significantly below, the evolution of the top line, 3.8% as compared to close to 5% on an underlying basis and 3.1% as compared to close to 6% on a stated basis. So it’s a very positive drove effect which helped of course to continue to improve the cost income ratio. As far as the last quarter of the year is concerned, stated costs are down 1.7%, the underlying costs are at 4.8% and actually within this €25 million increasing the cost base, €15 million is simply the provisioning of the [indiscernible] that we’re going to pay to some of our employees in March this year. So it's actually very stable costs basis especially in the context of this quarter, and in addition as Phillip has stated, if you try to carve out the scope effect from these figures, costs were down Q4 on Q4. Cost of risk is also significantly down, stable underpinning of the whole group including the regional banks that actually down 6 bps as compared to 2017 on the parameter clinical SA. It's now very low level of 23 bps for the full year of 2018, which is obviously the transition of an environment which has been quite benign from the risk view point, but also the transition from our prudent policy. If we zoom on the cost of risk by business line, you see that we didn’t say it's quite stable actually. It's very steady and stable at a low level. In the retail banking activity in Italy continues to decline, it's now at 67 bps, so it's taking close to the target that we have minus 60 bps of below 60 bps. In the consumer credit business as I would say more or less stable around low level, I have say that in the previous quarters that actually with IFRS time we are going to have some volatility because we have to learn to leave for with the IFRS 9 and the provisioning of Bucket 1 and Bucket 2 exposures. So I will not be surprised by some volatility around these levels in the coming quarters, but it's quite low from a historical viewpoint. And lastly, for the CIB financing activities, we are now for the third quarter in the row with the reversal actually of loan losses provisions. And so this is redeemed to full year of reversal in average. Of course this is not going to be last forever but this is the situation of 2018 clearly. If I go now to the performance for each business lines starting with the asset gathering division, you perfectly know that 2018 was a quite bizarre year with a good commercial performance with significant inflows throughout the year, but very negative market effect in the last quarter of the year. And this is what you can see on this slide with the actually assets under management globally up 3.5% for the first nine months of the year and only up 0.6% for the full year with more than €50 billion of negative market effect, market and ForEx effect in the fourth quarter and especially in the last month fourth quarter actually. In terms of profitability, of course, there has been a heat on the profitability of Amundi this quarter as you know, but for the full year the profitability of this business division continues to improve. The insurance activities are growing nicely I would say once again with a level of turnover, which is setting new record at €33.5 billion in total adding life and non-life premium and the situation is actually quite positively oriented both for production P&C and life insurance activities. What you can see on the third quarter is that we continue to have a good dynamic unique thing product net inflow. But in addition to that, we have seen a pickup in the inflows coming in euro contracts. From a profitability viewpoint, actually the net income is up both for the quarter and the full year and actually for the full year if we restate 2017 from the capital gain that we made on the sale of a reinsurance activity in Luxembourg, the profit is up 3%, 2018, on 2017. So it's clearly going alongside with the evolution of the business. Amundi, I think we can go quite swiftly considering all the details that we're given by either an equal is Nicolas yesterday, but you see exactly what I was mentioning. Nice inflows in the first nine months and in the full year actually because inflows well above €40 billion for the full year. That €43 billion of negative market effect on the last quarter. In this context the financial performance of the last quarter was negatively oriented but with a good monitoring of the cost base. So the performance remains at the high level and even in this difficult quarter of the cost/income ratio remains in the region of 55% and for the full year the profit is quite significantly up contribution as Amundi to the profitability of Crédit Agricole S.A. Retail banking activities in France LCL, activities very, is very good actually, loans outstanding continue to be up significantly and as in the previous quarters these are more driven by cooperate and SME loans than individual loans even those consumer credit and Home Loans are still positively oriented. Customers savings are also up little bit impacted for the off balance sheet part by market effects but still up. And in terms of profitability, what we can see is that the revenues are flattish Q4 and Q4 but this is due to a very specific point which is the negative reverberation of some shares that are held by LCL namely in two entities, Credit Logement on the one hand and Visa on the other hand, and this is all-in-all generating around €28 million of negative and vi. So besides the effect the revenues at LCL would have been up for the quarter and up for the full year. And actually they are only flattish. As the cost space base continued to decline quite significantly, 2.6% both for the full year and for the quarter the cost of risk of being also quite stable volatile at a low level, I would say. We have a net income before tax, which is significantly up and a profit which is flattish for the full year and for the quarter but due to the fact that we have had the normalization of the level of taxation component tax for LCL so if I restate from the revenue effect in connection with this impairment on the Credit Logement and Visa and with normalized tax rates, we would have been significantly up in terms of profitability. Italy, as we had forecast since now the beginning of last year. We are now in a situation where costs are trying to show positive effect of the synergies that we are generating. And thus, we have an evolution of the revenues, which is now above the evolution of the cost base. Of course, these figures are quite significant, because we have the scope effect in 2017, we didn't have any contribution neither in the revenues nor in the cost stemming from the three banks. But now that we have them, what we see is that we start to generate nor revenues and costs additions. And so this is generating a significant growth in the growth of that income. Considering the first or decreasing the cost of risk. We have a good evolution of the net income goal share of the contribution of Cariparma to the profitability of Crédit Agricole S.A. This is leading us to the overall scope of activities of the group in Italy, where as you know, we are developing all the scope of activities of the group. Where we have launched or renewed some significant commercial agreements that are going to produce additional revenues as of this year 2019. We generated €573 million of net profit last year in Italy. It's up more than 5% as compared to last year, which was already up, as compared to the previous year. So clearly Italy is more and more the key area in terms of profitability for clinical basis. Excluding Italy, retail banking activities the growth of individually small entities but globally than I will represent close to €150 million of net profit, it's up 50 million -- excuse me 50% also €50 million I would say. And it's benefiting notably from the fact that this year we haven't had any negative 4x effects contrary to the previous year. And all these activities continue to update quite nicely right. Specialized financial services, it's been a very good quarter both for CACF and for CAL&F in terms of commercial activity and actually also a very good year globally with outstanding quite significantly up, generating a growth in the top line. The cost base continued to be under strict control. The cost of risk, as I already mentioned is stable, yoyo-ing a little bit around a low level. And so in this context, we generated significant improvement. So, the improvements of the net income group share both from CACF and from CAL&F. In the large customers division, if we take a look at only. At the bottom-line, we have had a very nice year and a very nice quarter indeed with high level of profitability. Quite high level of return under normalized equity, especially if we consider that as compared to last year, we no longer have any significant contribution coming from the BSF. which was deconsolidated in the third quarter of 2017. Of course if we go a little bit up in the P&L, what we would see is that revenue has been dented in the fourth quarter by market conditions. It's clearly focused on capital market activities and it's clearly as we already said in the past, it's quickly in connection with customer activities and commercial activities. We’ve had quarter where customers were quite shy in terms of developing their activities. In terms of requesting our services for the origination of bonds or all other type of capital market activities and so this has led to lower level of activities. So lower level of revenues, but we haven’t had any specific difficulty in connection with the volatility of market parameters. In this context and thanks to continues control of the cost. Thanks also obviously to the very low level of the cost of risk we managed to compensate, I would say for this weakness in the topline in capital market activities and this led to this quite high level of profitability and this quite attractive return on normalize activity for this division. If we go to the Corporate Centre, it's of course a little bit volatile quarter after quarter but we are on a yearly basis continuing to decrease the cost of the Corporate Centre and we’re heading towards the target of minus €700 million that we have in mind for 2019. We continue to struggle in order to reduce both the financial cost and the operating costs of the Corporate Centre and again we are on track. Let me just spend a minute on the regional banks, key of course within the group, both from a solvency view point and also from a commercial view point and I have should have state probably -- I should have started with the commercial view point, it's absolutely key for the group globally and for CASA’s business lines as the regional banks continue to be attractive from a customer view point and it clearly being the case last year and they continue to develop very actively their loan book, their customer savings, collections and the sale of the additional services and products and so this is significant and very important contribution to the profitability of the group. As you know the regional banks are monitoring their businesses more looking at their results in GAAPs rather than IFRS. So this is why we wanted to indicate their -- the evolution of their P&L under French GAAP and it was up close to 3% in 2018 as compared to 2017 translated into the IFRS and transform into their contribution to the profitability of the group. The situation is a little bit different because of all the entire group elements that we have to take into account. But nevertheless, it's been a good year or so, for the regional banks as well as the HCL globally. Let me go now to the solvency. We for Crédit Agricole S.A. CT1 ratio which stands at 11.5% end of 2018. It's the same level as end of Q3. Naturally, during this quarter, we have had quite heavy headwinds. It's been the case of the OCI visa of components of the solvency down 13 bps. This is clearly due to the market conditions that we had, especially in December and we also took a hit from the, I would say, regulatory viewpoint with the first layer of surcharge on the population risk which is only a step towards what we'll have to spend when Basel IV applied in 2022. In this context, we managed to monitor quite strongly the organic growth of RWA, and so this was configured solved actually, by the results that we managed to keep and the evolution of the organic RWAs leading to the stability of the CT1 ratio at the global level. At group level, it's been an increase of 10 bps of the solvency 15%.We have more or less the same cinnamon and then at the casual level with a strong level of returned earnings but a negative impact both from the OCI reserves and from the regulatory headwinds. Positive impact from the reasonable evolution of RWAs and all-in-all, this increase of 10 bps of the CT1 ratio; in terms of TLAC, we are now at 21.4%. So we are clearly close now to the 22% target that we had set for 2019 without any eligible senior preferred depth. And in terms of MREL, we are at 12.4%. In terms of TLAC which is one of the different ways of accessing this ratio, nothing much to say about it. Funding has not been an issue for the group in 2018.The group globally issued a bit more than €34 billion years of debt and CASA itself issued €14 million of debt. In both cases, we are a little bit ahead of the initial program that we had which is situation which we are used to actually. In terms of liquidity, nothing much to say. We are in a very positive and strong situation with very high reserves of liquidity, LCR ratio which is far above any regulatory target and a surplus of --paper which continues to be above €100 billion. So in conclusion and I will leave you the floor for your questions, I think that we have had healthy result as a Philippe said, healthy, robust and balanced throughout the year even though the year has been a little bit more bumpy than initially expected. And I think that I can stop here and now go directly to your questions, if you have any.
Philippe Brassac: In terms of organization, we could start by local questions if you want.
Q - Unidentified Analyst: I have a question on the loan growth in SMEs at LCL, has been running quite strongly in the last few quarters. If I look back at 10 years ago, there had been obviously very strong growth going into the recession. Should we worry about when we go into late cycle to have an increase in provisioning? And then the second question relates to the corporate and investment banking. So, you'll still containing the RWA growth in CIB, but there has been a small change, I think, in the methodology so there's a small obstacle increase. What's your thinking about how much growth you're happy to have there?
Jérôme Grivet: Within LCL, it's a strategic decision to increase the activity of LCL with corporate and SMEs because of the global strategy that we have for LCL, which is to be focused on cities and which is to rely on, I would say the DNA of LCL. And historically, LCL has always been a corporate and SME bank. What we see in the loans that we originate nowadays is that it's almost exclusively investment loans. So, we are not talking about treasury loan that can easily be transferred into that loads, it clearly investment loans that are designed to fund and to finance the investment needs of the customers. And so we are not worried by the stronger development of this loan book and we see no, and we decided not to have any I would say loosening of the credit send out that we have on this category of customers. In CACIB, the idea is to continue to monitor the global RWAs within CACIB at a level which has to be more or less stable. So of course this is an area in which there can be some volatility because of ForEx effects, because part of the loan book -- significant part of the loan book is not in euros because of methodology, because within CACIB you not and you have credit RWA that also operational risk RWA and market risk RWA. So you may have different methodology evolutions. What happened in the fourth quarter of this year is what I said, we took, actually we implemented that strengthening of the internal model that we have developed to assess the RWA's links to operational risks via that if we did so it was at the request of the ECB that's absolutely here. And we decided to implement this modification swiftly. First because we had to do it, but also because it's only a step to was what we will have to support any way with the full implementation of Basel IV. Because you know that for Basel IV for operational risks, no internal model would be load any longer and we have to go back to a standout formula. So anyway, we know that this is going to translate into an increase in the level of RWA for operational risks. So this is actually what happened in the fourth quarter, but I would say that order Italy, we continue to stick to the same principle, i.e. primarily distribution of significant part of all the loans that we originated and rotation of the portfolio in order to be able to continue to the, with our clients to find them without having too stronger growth of the loan growth.
Thomas Dewasmes: Thomas Dewasmes from Goldman Sachs. I just wanted to us to ask about the French retail, the French banking market in general. We've created equal group not around 15% equal to Core Tier 1 ratio. The other big mutual banks also have very high Core Tier 1 ratios and no dividends to pay per se. The pricing remains extremely tight in France and as a market leader. I just wanted to understand what's your view on the interplay between the appetite to essentially deploy that capital and pricing for the French market, which has been problematic for see, for example, just because you're not growing your own by 7, but have flattish or barely any growth in net interest income according to the slides? And secondly, recently attended the presentation by D-Rating, a fitting name for rating agency about tech, but the point is that they showed that the Caisses Regionales has an extremely good ranking about their technology, because we have 2% this year here and there was a big, big gap we don't care, which was trading in their ranking and clearly has been really good on costs, recently. So I just wanted to understand whether there is any risk of catch up in costs going forward and what was your take on their rating if any? And my second question was on CIB. You showed a nice slide, where you have all these nice returns in all of the businesses, which you operate. The one business in the group, if you go down one level as opposed to be average at the market business, where is the second year, where it's kind of mid-single-digit return. And then I just wanted to know whether other businesses were looking and those replace assets and might want to redistribute them somewhere else for more attractive returns prospect going forward?
Jérôme Grivet: Many questions, but interesting questions. So I'll try to some swiftly. First on French retail revenue, our assessment we already said it's a quarters ago, but I think we are there. Is that we have reached the bottom and that going forward, we are going to see a stability and progressively increase in the top line. Actually what is happening now is that the volume effect at the rate conduct continues to be what we forecast, of course, if there is a further deterioration then it's, it might be different. But the volume effect plus the evolution of fees which is positive are now upsetting the first compression of the margin, which continue to happen actually. We continue to have a new loans that we look at a rate, which is a little bit, but slightly only, the below the rate of the back book, as the rate of the back book. But we used to have a difference between both which was in excess of 100 bps. A few quarters ago, it's now probably around 30 to 40 bps. So it's much more tiny and it's the gap is feeling quite rapidly. So we can we are of the opinion that there is no standardization actually of the revenues in retail banking activities in France. When it comes to digital elements and things like that, you’re mentioning the D-Rating rankings I think that any bank can find at least one classification in which it would be in a good position. Because you have as many classification as you want in order to try to find one at least that will suit you. What is for sure, is that we have and I don’t remember, which is the organization that publishes it but we have an organization which is dedicated also to that kind of classification but published for two years in a row a rating in which the app of LCL was the best app in the French market, seven year in a row. So, I think the end game is are you attractive from a customer view point or not and in 2018 the regional banks of Crédit Agricole attracted new customers, gross number, net number, LCL attracted new customers, gross number, net number. So at the end of the day I think that as long as we continue to have customers as long as we continue to have and possibly grow our market shares in the different products, the question of are we the best bank in this of that area is a relative question I would say.
Philippe Brassac: This is such a good question too, and we like to highlight the fact that, it could be a mistake to rationale retail banking as a standalone activity. For some competitors this is the case. Of course if you’re growing that. And with plenty of Crédit Agricole Group, this is exactly the root of universal bank. That means that retail banking also fuels many other business line of the whole group. So, you have to look at the global placement, both in terms of net income of customer acquisition. And what we can say that is that even without this rationale when you just look at the return on normalized equity. You can see that for LCL. The recent on normalize equity is 1$ with very low environment of interest rates, that’s really not so bad. But this is possible. If you’re included, if you’re linked in a global model of the relationship that’s exactly what I try to explain beginning of this meeting, but this is very important to see the global performance without the mistake to think that each entity is able to get this performance if it is standalone. And actually I was to say exactly the same thing about capital market activities because if you try to access the profitability of a specific activity without putting this activity back in the scope of we proposed to our customers, you’ll miss something and as far as large corporate and financial institutions are concerned, the issue for us is to be able to have a scope of enough of product which is wide enough in order to attract these customers and to generate enough profitability from a customer view point not necessary from a product view point. So, this is why we start by assessing the profitability of the large customers division because this makes sense globally and the profitability of the large customer division actually is indeed, high indeed very positive has improved quite significantly in the in the last three years. And the fact that in a specific area and especially in a specific quarter, we have had some hard times on a specific set of activities is not leading us to the conclusion that we have to get rid of these activities because they really fit in the business model that we that we want to deploy and in the product offer that we that we need to offer to our customers actually. So capital market activities have had a two level of revenues in the fourth quarter, that's for sure. We are going to continue to further in order if possible to adapt to first base in order to be able to withhold that kind of environment of course, but this is absolutely not need to [indiscernible] the idea that we must get rid of certain activities of the capital markets division.
Jon Pease: Jon Pease from Credit Suisse, three questions please. Firstly, on the insurance business very strong revenues this quarter, right. I think your policy holder participation reserves came down a little bit from Q3. And I just wanted to what extent that it contributed to the top line and how useful those reserves developing going forward? And then my second question is on the capital and the forward looking bridge to what extend to see any other regulatory headwinds and can you remind us as the OCI contribution which is less? And as we look on also to 2022, any thoughts around Basel IV what will be left to Basel IV by then?
Philippe Brassac: Well, the insurance division has had a good quarter, which is one of the qualities of the insurance division. It's very stable, actually, even though we have difficult times on the market, which has been in either case. So, of course, this translated into these OCI, reserve reduction by incidence. I just give you the figures that you were requesting. We have, we have, I think around 30 bps left of OCI reserves, really not So this difficult market conditions translated into a decreased decrease in OCI results and he didn't translate to deterioration of the profitability of the insurances activities. And you were questioning the evolution of the of the profit sharing rate with the policyholders actually in the fourth quarter we as we do every year we find during the breakdown within all the financial revenues of the life insurance activities between the policyholders and the shoulder. And then within what is attributed to the policyholder we make a certain speed which is between what we are going to pay right away and what we are going to take aside for the future. And in the fourth quarter, I'm not going to be too precise, but what we did is that we use the little bit within what is allocated to the policyholders, reduced a little bit what put aside for the full year for the future. And we increased a little bit slightly what we had decided to pay for the year 2018 to the policyholders. And so, didn't mean to any modification of the first split between the shareholder and the policyholders. And then in terms of capital, so OCI reserve is no longer a significant component of our solvency. Maybe I just wanted to remind I don't want to frighten you, but OCI reserves can be negative too. It's not a matter of seeing the OCI reserves going down to zero. This is what is going to happen with a certain category of OCI reserves which is the unrealized capital gain that we have in the fixed income book of the insurance activities because this book is going to be carried up to its end but as far as the loan book of the bank is concerned, we can have positive or negative levels of OCI reserves. We can decide to crystallize either a positive or a negative situation. So it's a matter of volatility within the solvency, it's not just an element that you want to see a declining down to zero and then it's over. It's just an element of volatility that we have to manage. But more globally, do we need additional headwinds before Basel IV? Yes, some, and it's going to start as soon as generally the first this year with the transition to IFRS 16, because you like IFRS 9, you now have to like IFRS 16. So IFRS 16 as you know is this new stand up in which you have to identify on the asset side of your balance sheet, the value of your rents and on the liability side, the value of your commitment to pay the rent. So it's increasing with the same size a little bit for the balance sheet of bank. It's not massive, but for Caisse, it's going to lead to an increase of around €2 billion of RWA. So, it's not nothing and I made a funny exercise for this, but it's not really the right word. In 2018 we had to absorb in the solvency of Crédit Agricole S.A. 42 bps of different type of headwinds 42 bps. I'm not taking into account the evolution of the OCI reserves. I'm just talking about IFRS 9. Then the detection of the commitments to pay to the Single Resolution Fund and the Deposit Guarantee Fund in France plus the strengthening of the internal modem on operational risk plus again 3 bps. So all-in-all 46 bps for Crédit Agricole S.A., and the same elements at the level of the group 62 bps of solvency, so it means that if you assess the evolution of the solvency of Crédit Agricole S.A., which in 2018 went down from 11.7% to 11.5%, it's after having absorbed 42 the 46 bps excuse me from different categories of headwinds on which we have absolutely no influence. And at the level of the group globally, where the CET1 ratio issue was only 10 weeks between end of 17, end of 19 is after having you top 62 weeks of different headwinds. So it means that we have the capacity of absorbing quite significant headwinds. But of course, this is a little bit capping our capacity to continue to develop the level of capital. So going forward, what we have identified for 2019, it's IFRS 15. This is for sure and it's not massive again, it's around 2 billion for CASA and 3 billion for the group globally. But again it's a 2 billion and 3 billion of RWA. We will still have probably some TRIM exercises that are going to continue, but you see that the last one was only 3 bps. So it's not absolutely massive. And then there is Basel IV for the time being are not able to give you relevant figures on Basel IV, which we still don't have any tax coming from the European Commission. And so, in this matter, the digitalizing details and we haven't had the opportunity to see the details.
Angeliki Bairaktari: Angeliki from Autonomous, one question on TRIM. If you could give us some detail on which part of the book exactly, you book those three beats and can you confirm the guidance that you had given last year around 30 basis points overall impact from TRIM? And secondly on cost of risk, you had some reversals in the stage one and two budget. Should we expect this to continue in 2019 and what is the outlook overall purpose of risk this year?
Jérôme Grivet: I don't have my crystal ball. No, the TRIM impact that we had last year with 3 bps TRIM impact came from LCL and from the fine tuning of a little model on, I think cooperate and SME lending at LCL, so it's one. What we said 30 bps that you are mentioning is what is left from the global 70 bps evaluation that we had when we publish the medium-term plan in 2016. So I continue to think and to estimate that we have the capacity to absorb these additional 30 bps to the end of '19, which was initially, the capital planning that we published. I am absolutely not confirming that all the TRIM exercises are going to lead to 30 bps impact for this year. Simply, because we don't know, when the reports are going to republished. We don't know the magnitude of the request of the ECB. So it was a pure evaluation, but to now we have been comfortably inside this evaluation. So and I don't have any clue leading to the idea that we should verify significantly that, but clearly what we are going to do is that we are going to update completely the capital planning, when we publish the new medium-term planning. Cost of risk and bucket 1 and 2. I think that's clearly everybody knows that IFRS 9 is going to by procyclical. And so IFRS 9 is leading to bucket 1 and bucket 2 provision reversals when the overall environment is positive. And if we are only I would say updating the global scenario that is leading to the global say evaluation of the Bucket 1 and Bucket 2 provision and if at a certain point in time, we have a darker view of the environment. This is going to lead to a an impact on the Bucket 1 and Bucket 2 provisioning that’s for sure. But for the time being, we haven’t significantly modified our forecast in terms of the global macro environment.
Kirishanthan Vijayarajah: K. Vijayarajah, from HSBC. Can I ask about Italy and the fact that it's in a technical recession. Does that have any kind of impact or your ability to or desire to put more capital to work and actually both organically and I guess more interestingly through continuing with bolt-on acquisitions? The second question on the TLTRO and kind of what’s your kind of base case thinking there, and again with regards to Italy, does it alter in any way your desire to grow the loan book there?
Jérôme Grivet: Well, the situation in Italy is a little bit contrasted because it's clear that they have been and they are in a technical recession as you mentioned. But at the same time what I notice is that I think it was last week, the Italian government issued a 30 year bond. They wanted to raise €8 billion and I think the older book was €42 billion. If I remember correctly and I think that around three quarters of the order book was made of non-Italian investors. So it clearly means that lot of investors have positive view on the Italian situation. Nevertheless, as far as Italy is concerned, we see this country as a second domestic market, it’s a very common expression but for us it means really a domestic market where we are active since more than 30 years and so we are not going to modify our footprint in Italy because there is a positive or a negative news flows. So we are here to stay. Of course we manage our Italian operation in a prudent way as the we manage all our operations actually and of course our teams in Italy monitor their activities, monitor their note books cautiously and especially cautiously when the environment is a little bit harder, but really nothing that is going to lead us to decide to modify the capital allocated to this country and to this activities. You’re about acquisitions or further growth, organic growth that’s for sure. We’re here to go as in every country where we are active. When it comes to acquisition, we have in the past quite cautious about acquisitions and the three banks that we acquired in 2017 they were acquired in a very specific situation where their balance sheet was completely cleaned up and where they had only a problem of operational efficiency. And this the type of operation that we had considered in the past and we will not we say, go beyond that type of potential targets. But for the time being, we are not looking at anything in Italy. And we are focused on the integration of the three banks that we acquired. It's true that it's going it's coming to an end. It has to be repaid in between June '20 and March '21. We are perfectly conscious of that. And actually, we've been probably among the first to say that this was going to be an issue. So as far as we're concerned, we monitor our TLTRO drawings in a very prudent matter and actually we have already started to early repay in order not to need to have a significant liquidity piece in '20 and '21. We think that probably ECV will have to repeat it right, some other type of facility because it's going to be difficult for these ECV2 except to see €750 billion years of funding provided to ease of doing without anything else to recreate it. But we are ready to replay for the tier 2 spending that we have in our balance sheet by markets.
Philippe Brassac: And one more question and then we'll take question by phone, if you want.
Jacques-Henri: Jacques-Henri from Kepler Cheuvreuxjust, just two questions. The first one, when I look at your quarterly net interesting comments at LCL. It's a positive question of LCL so -- for one. If I restate from the Credit Logement right off, it looks like the net interest income is €460 million stable-ish over the last three quarters. Is it fair to assume that will be the same amount into the '19? And since the commissions are actually behaving quite nicely, could you have revenue growth at LCI into the '19? That's the first question. And the second one is a question on the medium-term plan, very simple question. What is going to be the first year of execution 2019 or 2020?
Jérôme Grivet: Well, I leave you with the precise calculation on the net interest margin and net sell, but clearly we are working to increase the top line at LCL, that's for sure. So we don't know exactly when it's going to be significant enough to, to oppose entrepreneur trumping bottles. But we are working to increase the top line and not only decrease the top line, that's for sure. For the medium-term plan, I think the question is not to know what will be the first year of the medium-term plans what we are going to set is new targets for 2022.
Jacques-Henri: Thank you.
Philippe Brassac: We take question by phone, if possible.
Operator: Thank you. [Operator Instructions] The first question comes from Bruce Hamilton with Morgan Stanley. Your line is open, please go ahead.
Bruce Hamilton: Two really. Firstly, just on Italy, again, actually the top line developments in Cariparma in Q4 look pretty encouraging. Was there any sort of one off elements within there? And as you cross that to '19, do expect you can actually see growth given the difficult backdrop or that will be bit too much of a challenge? And then secondly, in terms of the provisioning outlook, I'm interested in what sort of macro assumptions you've embedded in your current forecast GDP in order just to get a sense of how conservative you're being?
Jérôme Grivet: In Italy, it's clear that the dynamic of the top line in 2018 was significantly the result of the scope effect, because the reference period in 2017 was without the three banks and so the figures of '18 where as particularly about the figures of '17. But what we've seen and actually it has started to work in the network of the three regional banks that we wrote, what we think possible is to increase the sales on the customer base of those banks because we are offering a wider range of products than the one they were offering to their customers before the acquisition. Because we have some expertise and skills in terms of commercial, I would say a commercial management that they didn't have in before. So the idea is clearly to grow their top line on the quarter-on-quarter standalone basis as compared to what it was when we both them. And at the same time of course we are targeting the decrease of their cost basis which is going to accelerate the jaw effect that we have started to see in Q4. But clearly we are going to be more focused on the jaw effect rather than seeing either an increase in the top line or further decrease in the cost line. Clearly what we target in Italy is to see an improvement of this jaw effect that we started to have in the fourth quarter. In terms of economic forecast, what we are, what we have in mind is, I would say, more or less a plateau in 2019 as compared to 2018. In France, clearly there has been a slow down end of 2018, but the latest forecast of the Banque de France is an acceleration in Q1 and Q2 '19. And indeed the different measures that have been taken by the government in December are going to boost the purchasing power of the consumers in France. In Germany, it's clear that the different confidence polls are heading a little bit down lately, but we continue to see an element of I would say a content role element in this slow down and the capacity of the German industry to accelerate to gain in the course of 2019. So no recession I would say more or less a plateau in Europe.
Bruce Hamilton: Thank you.
Philippe Brassac: I would add on. In Italy, at this point, when you look out on the long-term, you can see that there was no correlation between our net income results and then the growth in Italy. We had recession in Italy several years ago. We are not negative results for Crédit Agricole. The explanation is very simple. Our setup started more than 30 years ago, especially not profitably and since this time, we just did the priority to organic growth and then to additional setup by gradually acquisition there small acquisition never rupturing the model. Thanks to that we succeeded to cross many situations positive and negative situations. And something when you look at the last three years, you can report that for the whole group, our net income group share Crédit Agricole Italy is above €0.5 billion each year, and it is improving 2018 was above 2017, 2017 was above 2016 as well. So of course, forecast about growth is important that this current strategy when you are not to be, when you're focused on north of Italy with a very special kind of organization using all the different business lines around our retail banking that is Cariparma, Crédit Agricole Italy, you can cause a situation with positive results and even reducing level of risk. Though the environment is not as good as we currently saw. This is really an ongoing process, and as we said 2 years ago, 3 years ago, 4 years ago, we repeated this year to once again that this strategy would go on. We don't contemplate anything that could create a rupture in our organization. And so simply as opportunities for rupture that then it was for last year. Next question in the room, the question in the room, we should come back to follow later.
Delphine Lee: Delphine from JP Morgan. Just three quick questions from my side. First of all, just to come back on French retail. Just wanted to check that I mean, in terms of the revenues using any headwinds from the measures, which have been announced by Macron at the end of the year? And does that kind of distort little bit your comment about revenue growth while stabilization revenue growth in 2019? The second question is on Corporate Centre. I mean, it's just been a little bit volatile, I think in 2018, in terms of the revenue line, which has been very good, I mean, it's the losses of declining quite a bit. But the cost guidance increased, I mean obviously close your 700 million. But just wanted to track that nothing, you want to highlight maybe on this Corporate Centre for this year? And then the last question is on capital. Some of your peers have slightly kind of not increased the targets. But seem to be aiming for a bit of a buffer above the 12%. So just wanted to think from your side given the breakage headwinds which are still uncertain, are you -- would you consider revising a little bit your sort of 11% floor? Or if at this point, there is no change?
Jérôme Grivet: Let's start with French retail. Obviously, the different decisions that we announced by banks in December are going to have a slight impact on the top line of French retail banks going forward in 2019. It's great, if not going to be massive to be frank. We're talking about two different things. The first one is that we agreed to freeze for 2019. I would say the price grids of all the services that we sell to our customers. So there's nothing more to say, it means that we’re going to sell the products at the same prices as the one we had in 2018. But clearly what we are targeting is not to generate revenues through a permanent increase in our pricing. We prefer to improve I would say the mix of the product that we sell and there is an easy example to take which is the improvement or the increase in the breakdown of the payment cards that we sell. There is a permanent increase in the high end category of the payment cards that we sell. So it means that without increasing the price of each card, if we sell more high-end cards than low end cards, we’re going and we do actually we do, actually we did it within the regional banks and we did it within LCL last year. We’re going to increase our revenues globally even though the tariffs the prices are fixed. Then the second element is a ceiling that all banks agreed to put on the level of commissions that they can take for payment incidents in on their fragile customers. And the ceiling is set at €25 a month. As Phillip said regularly, it's very I would say reasonable decisions that we took together. It wouldn’t have been possible for a single bank to take that decision because obviously than all the fragile customers will have concentrated on this bank. But as long as all banks are taking the same commitments together than each bank is going more or less to keep its fragile customers the one it had initially and we’re not going to generate additional revenues on this customers. But you know generally when a customer is fragile, you may charge high fees. But it translates into high provisions because generally those fees are not paid. So, the impact maybe material on the top line, but probably not on the bottom line, so all-in-all we were volunteered to take those measures, because we thought it was a key element of the smoothening of the global situation and we don’t see it as threat on our capacity to evolve positively next year. On the Corporate Centre, there’s one point which is explaining the situation describing an increase higher than you expect us on the revenue side of an improvement on the revenue side and an increase on the cost base. In the Corporate Centre, we have several entities that are not profit centers that are service centers dedicated to serve all the entities of the group. So we have in the Corporate Centre, both the operating cost of those entities and then the revenues coming from the billing that we do to all the subsidiaries of the group all the regional banks. And so this is namely the case for IT services and for payment services. So this may lead and indeed clearly in 2018, we accelerated the investments. So it led to an increase in the cost base of those entities, and at the same time, we’re billing all the users of those services be it regional banks and be it the subsidiaries of Crédit Agricole S.A. And so, this generates revenues for the Corporate Centre. So, it's technical effect, it's not changing the bottom line, but it's leading to this effect that you're mentioning. And on capital -- excuse me, we have no intention to change our targets. And the target is to remain above that as close as possible to 11% at the level of Crédit Agricole S.A. And it's to continue to build up the capital at group level because as you know considering the distribution rate at group level, we are going to continue to build up the level of capital. Next question?
Unidentified Analyst: [Matthew Clark at Mediobanca] here. Just to come back to an earlier question on the insurance revenues and policy holder reserves. I think quite understand beyond system. If you had not made it doesn't to the policy holder reserves in the fourth quarter, would the insurance revenues have been lower as ever presented in the IFRS accounts? I just want to try and understand the interplay that between the reserving and the revenues as we see it? Second question is on the low tax rates in the fourth quarter, what you did, you generate any deferred tax assets. So I'm just wondering whether this is purely catch up on a full year basis or whether there's anything else going on then the fourth quarter? And then finally, on the €75 million litigation provision in the corporate Center, which I think was for a specific case. Could you comment on whether that's something where you have visibility on the ultimate cost or is that too provision that could see federal adjustment is whatever process evolved?
Jérôme Grivet: Let me start with the last one to be frank up to now, this year, we hadn't booked any general legal provision. When in 2017, we had moved to a little bit more than €100 million years of not affected legal provisions. So we decided that considering this the good level of profitability that we generated in Q4, we were quite it would be quite sensible to complement our general provisions, but there's nothing specific. And so this is not the facility of saying that we need to complement that further on that. I would say more treatment approach of these different type of issues that we can have. On the tax rates corporate tax rate is true that we had a new corporate tax rate upper and lower corporate tax rates in Q4. Actually, clearly, I have always say that it's maybe because I'm not a tax expert, but it's already hard to understand the level of taxation on a yearly basis. But clearly on a quarterly basis, it's very, very difficult to hear you right it's a catch up at the end of the year of the of the of the full year rate and probably we fine-tuned some assessments that we did in the first three quarters of the year with the this level in the fourth quarter. Insurance, it's a little bit tricky actually, and I don't want to spend too much time on this issue but we have three levels decisions to make when it comes to the management of the financial revenues in life insurance activities. The basis is the level of financial revenues generated by the portfolio of assets. And this is decreasing slightly because obviously considering the component of fixed income assets in this portfolio is slightly decreasing. And last year actually it seems was in average around 2.7%. The first decision we have to make is at the split, what we call the setting of the financial margin. So it's the decision to, it's the decision of what proportion of the revenues we are going to attribute to the policyholders and what proportion of the revenues we are doing to attribute to the policyholders to cover the cost and the cost of capital. So that started by the very first decision excuse me, the first decision is the level of revenues that you want to materialize because you have within your portfolio you have been realized capital gains. And you may decide to realize or not realize them and it's a permanent fine tuning of course, we have to take into consideration, market considerations that old market prospects but we have also to try to manage the level of revenues that you reach quarter-after-quarter. The first decision to find setting of the level of revenues that you're going to book to capital gains that you want to materialized on that. Second decision the share between the shareholder and the policy holder. And third decision, within what is allocated to the policyholders, what is attributed immediately and we skipped for the future.
Philippe Brassac: Thank you. We can come back to questions on the phone I think.
Operator: Thank you. The next question comes from the line of Flora Benhakoun of Deutsche Bank. Your line is open. Please go ahead.
Flora Benhakoun: Yes, thank you. Good afternoon. I have two questions as well, please. The first one is I'd like to go back to the move your head on your operational risk RWA this quarter. So the first thing I'd like to understand is whether you did that at the request of the regulator? And the second thing is to what level of standard views in the calculation of the up risk RWA you had to go? The second question is regarding district business. I mean, obviously the reading news have been down significantly this year. Clearly part of this is cyclical, but part of this is structural. When we look at other banks, some of them are rethinking their FICC operations in order to improve the return on equity in their investment bank. So is it something that you're also considering and how would you see your position in the FICC business? Thank you.
Jérôme Grivet: Thank you. Let me very precise on the operational risk. It's clearly after a mission of the ECB that had challenged our internal model that we had to strengthen a little bit some parameters of the income model that we use to assess the operational risk capital requirements. And so we strengthen a little bit of model that this has nothing to do with translating certain activities for internal model to stand up formula actually. We have certain part of the group which we use the standard formula. Most of the group is under the internal model, an AMEA model. And so we had to strengthen a little bit our model and this strengthening translated into an increase in the level of RWAs for CASA and the group globally. And within CASA, it was massively allocated to the CIB some other activities had all sorts of slight increases in the capital requirement for operational risks, but the biggest chunk of it was allocated to the CIB. Coming to FICC, again, we are happy with the set of activities that we have capital market space. We have, we don't have any, I would say exotic trading, truck trading activities. We have only customer oriented activities, which are consistent with our business model. We are active in securitization and loan origination, which is clearly in the continuation of the financing fact of CIB. We have rate hedging activities. We have ForEX activities, which are also in the continuity of bond issuance of securitization. And this is a set of activities that we are happy with of course. We are going to continue to struggle in order to reduce the cost base of these activities have to improve the course income ratio and in order to be able to accommodate more easily some periods where revenues are harder to find. But we are not reshaping, that we are going to reshape our capital markets of activities. Again, because we have the activities that we want to have.
Philippe Brassac: Just I would to highlight this point, especially as Chairman of the Crédit Agricole CIB. I think it's important to explain that when you look at the profitability of Crédit Agricole CIB and according to me, the productivity as a sense of the year ago, it's very difficult to implement that for each quarter. When you look at that for Crédit Agricole CIB, our return on normalized equity for Crédit Agricole CIB is about 10% for several years and regularly. And as Jerome explained, we have no reshaping to do about that. I mean when the course, when, within a quarter market activity are low revenues and this income are long and they will be higher, our revenue and net income will be higher strategy. I think it's good that kind of confusion with some competitors or peers we have to face with losses on markets, this is not okay. Simply when you are a very low profile of risk, of course, while the activity is low, revenue are low, while the activity is high, revenue are high. So it's really important to, listen not to re-explain but to highlight this fact, the model of our CIB activities is really good one for Crédit Agricole and for timing and for many years at the end of the day, the return on normalized equity is about 10%. It's really a good performance. Really, it's really a good performance. And I'm sure that after this current quarter, the obvious question will be usually different than the question about the fourth quarter of 2018. Thank you, next question.
Operator: Thank you. Your next question comes from the line of Pierre Chedeville of CIC Market Solutions. Your line is open, please go ahead.
Pierre Chedeville: Yes, thank you good afternoon, few questions from my side. First question is regarding your CIB business towards your customer. I wanted to know where you are regarding transaction banking activities I mean debt finance, cash management, because we can see that most of your peers in Europe are emphasizing on this area of the business as it seems to be key now in current environment to conquer new clients and in my view, you are not very vocal regarding the suspect of the customer banking in the CIB. Could you tell us a word regarding your transaction banking franchise? And my second question is regarding your activity towards SMEs and intermediary companies because you have strong market share here and one of your peers, SocGen to be precise, told us that it was contemplating the ID of securitized some loans from this type of customer in order to optimize its risk weighted asset management. It is something that you could also think about or do you think that it's not a good ID. And my last question would be about your global cost/income ratio. As you’ve said you have reached all your targets except the target of the cost/income ratio below 60%, do you think that this is an achievable target in 2019, the last year of your medium-term plan?
Jérôme Grivet: Thank you, Pierre. Starting with transaction banking activities, clearly, we are active and we see also these businesses are key for our further development. We have been probably less vocal that we should be more vocal but maybe we shouldn’t stop acting at the same time. I think it’s a key area and we’re going to give some color on that during the Investor Day in June. But it's something natural, everybody looks at the market the same way and we’re talking about the same market clearly transaction banking services are key in order to improve the stickiness of the customers and the loyalty of the customers across different geography so it's absolutely decisive. Securitization of SME lending. What is for sure, is that going forward we will have to accelerate further our capacity to distribute a growing part of the loans that we originate, if we want to weather an environment where liquidity maybe little more a little bit more scarce than what it has been under the quantitative easing regime. So, I am not announcing anything precise on that, but its key that we’re going to work on this issue too. Cost/income ratio, clearly we are not under 60% level we are targeting for 2019.So we are not there yet and we continue to target these driven as being good level. I think the explanation is quite clear. We evolved into less positive rate environment that then to significantly the revenues of several business lines in the last two to three years. And clearly, the cost income ratio as its main indicates it’s the result of the income and cost, so we've managed quite, I think, probably the cost. We lacked to little bit of revenues in some business lines in order to reach the targeted initially targeted income ratio we continue to target it. And when we see different competitors on the French market, I think that the 62% level that we reached is already quite significantly better than most of our competitors.
Pierre Chedeville: Thank you.
Philippe Brassac: Next question.
Azzurra Guelfi: Hi good afternoon, Azzurra Guelfi of Citigroup. Two question on capital. One is on credit risk-weighted asset, so if you look at the quarter you had loan growth, but credit risk-weighted assets went down. Can you tell me why? And the second one is that you have to wait the 6 June, but I'll ask it anyway. How do you think about switch to?
Jérôme Grivet: Well, for the second question, maybe we'll have to wait a little bit. Similar to me to be frank, you have seen what we did from a different viewpoint last year. We generated a significant level of profitability. We accommodated our organic goals. We financed some tiny acquisitions here and there, but we had also to face some significant regulatory headwinds. And of course, until think the situation from a regulatory viewpoint is completely settled and stabilized. It's very difficult to make a decision or something which represents the 120 bps of capital. On the first part of your question, excuse me, risk-weighted assets, yes. Well we continue to work hard in order to I would say optimize the risk-weighted asset density of our loan book and in the last quarter, especially, we managed to transfer to our internal model, The IRB model. I think a loan book in Italy probably the loan book coming from the three regional banks, if I remember correctly. So, this explains why we could accommodate the increasing the loan book with maintaining flat the RWA credit risk. Is there last question via phone?
Operator: Thank you. So, last question comes from the line of Omar Fall of Barclays. Please go ahead. Your line is open.
Omar Fall: Just going back to capital. So you've ended the year on 11.5% or 50 basis points higher than the medium term target yet because of the regulatory impacts you have. You decided to go forego risk-weighted asset growth and I guess revenues so as to protect the CET1 instead of just letting it just down towards the target? So, is the target really a fairly meaningless number in terms of what you actually managing the businesses? And then the second question, very boring one, can you just update us on the amount of base synergies and integration costs for the acquired, the three Italian banks, if you have absolute numbers and the timing that would be great?
Philippe Brassac: I will start with your second question and probably you will be a little bit disappointed that actually these three things no longer exist. They have been completely merged into Cariparma. So we don't have the capacity to really track what they are good basis has become and so it difficult to and we didn't want to be frank to invest to much in a audit trail to track those numbers. So, clearly, we are now sticking to a very simple metric, which is the relative growth of the top line and discuss line within Cariparma and we wanted to go back to where the cost income ration of Cariparma was before the acquisition. This is the metric that we are going to flow and so that the first step made in Q4 this year was to be in the situation where we managed to have a positive gap between the growth of the top line and the growth of the bottom line. On capital, 11% is the real target and we have I would say hidden management buffer for example, 15 bps above 11% in order to be a fully comfortable. And if at a certain point in time because of either regulatory reasons of organic growth reason or acquisition or whatever we are at 11.0% is not going to be an issue for us. It's very clear. So it happens but for the time being, and we have always stated that we really want to take I would say drastic decisions on the structure of the capital before we see the end of the medium-term plan and before we see the regulatory landscape stabilizing. But this doesn't mean that we have an additional management buffer above the 11% target. This is the real target which, and we don't need to have anything else about that. Any more questions?
Jérôme Grivet: Perhaps to thank you, I would like to add one thing about the substance in the content of them next the medium-term plan. But simply to give you some color about the philosophy of the future medium-term plan. Because the question is, how can we amplify all the successes, the results we get through the current plan? How can we amplify without changing all the decisions of the policy we decided about prudence, about goodwill level and so on. The idea is very simple and I should start until end of this point. When you look at the current plan, what we succeeded to add is a higher level of consistency at the group level to create synergies. And synergy is not only for cost but for revenues too. And one of the examples is that at the first day of January, we created a new company together all the infrastructure of IT of Crédit Agricole. This is one of the decisions of the current plan to change the benefits of higher level of consistencies and the group level in terms of synergy. I think that for the new content, we can amplify this way, trying to reach a higher level of consistency. This time to get a higher level of attractiveness in terms of attractiveness focused on. And to do that, we should focus on three topics, main topics of course the customer project, but on the societal footprint too, and then on the human project. Just a word on these points, on the customer project, it's obvious that for the last years, the main process was a kind of finalization that means normalization in banks. You never asked this. What's the main difference between you and competitors, I mean, accepting financial results? I think that as we lived for many years to kind of globalization of the world and now we're kind of de-globalization. We shall live between banks after the normalization period, a kind of re-differentiation in terms of approaches, in terms of difference for attractiveness. And we can create that that of course, we can do that if we don't do these mistakes to consider that we are just a conglomerate, adding different business line. But together we can create different approaches of customer compared to other competitor. So the customer project will be probably a point on which we should be able to fit really difference, not simply in terms of communication image which really on the business itself. The societal footprint, you are all aware that now just because we just not to a question of communication, but new spring of profitable business will be in anything useful for the environment on a larger comprehension of this term. So we shall focus all the efforts of our entities to create new kind of business about that and to create to once again a kind of a re-differentiation compared to other competitors. And at least for the human project, the rationale is very simple. You can read that in the current plan. Of course, the society is more and more digitalized. When is that it is more and more processed, that process of the main drive of many things. And this environment human resources won't be simply the small part not still digitalized. The thoughts on which you can provide to your customer, the good part of responsibility, I mean that the more the society will be digitized the more the behavior of human resources in terms of ability to appreciate situation and to decide the situation will be something really creating differentiation. So, I can't tell you anything precise about these topics. I can't give you any figure of course for the next medium-term plan. But I want to simply to tell you that there is really room to emphasize what we did on this program, medium-term plan, something going further so that a higher level of consistency for the group level could create, for this time a real re-differentiation, not only of Crédit Agricole, not only of Pacifica, not only of Caisse, but of Crédit Agricole Group both for the customer project for the external footprint and for the real culture of managing HR for differentiation to world's customer in a world that will be more and more digitalize. So I hope that with this very short comment, you will be happy to come to our Investor Day and I hope to see you soon. Thank you so much.